Patrick Arnold Schorn: Good morning, and thank you for participating in the Borr Drilling Q3 Earnings Call. I'm Patrick Schorn, talking to you from London, the U.K. And on the call with me today is Magnus Vaaler, our CFO. 
 Next slide, please. For good order, I would like to remind all participants that some of the statements will be forward-looking. These matters involve risks and uncertainties that could cause actual results to differ materially from those projected in these statements. I therefore refer you to our latest public filings.
 Now with that out of the way, next slide, I'm very pleased with the performance of Borr Drilling this quarter with all the credit going to our people in the field and onshore staff supporting them. They have the privilege of having a great asset base of first-class rigs to work with. And during the quarter, we have been able to win additional work, activate more rigs and have an overall strong operational quarter, which has set us up well for the last quarter of the year.
 Some of the resulting highlights in Q3 are that we have increased revenue by 33%. Magnus will give you, shortly, more details regarding the financial performance. Even though we covered additional activity, we have been able to keep our OpEx flat and have improved the adjusted EBITDA to $20 million in the quarter. Clearly, all signs that the execution machine starts to run on all cylinders.
 Most significantly though, is that we have grown our cash balance significantly in the quarter, which I'm very pleased to report as it is a strong sign of what lies ahead of us, when all our rigs are activated and day rates further increase. 
 As mentioned earlier, Magnus will now discuss the financial highlights in some more detail. 
Magnus Vaaler: Thank you, Patrick. We're now on the slide key financials Q3 2021. The Q3 2021 revenue increased by $18.2 million or 33% compared to Q2 into $73 million in the quarter. $10 million of the increase is from related party revenues, which mainly consists of variables earnings from our Mexico joint ventures. The increase is partly a result of more operating days. 
 In addition, mobilization and contract preparation costs were fully amortized in the JV in the previous quarter, leading to an increase in the variable rate paid to Borr, the remaining $8 million increase in revenues can be attributed to higher day rate earnings due to more rig operating days. Although we had an increase in revenues, we saw a slight decrease in rig operating and maintenance expenses for the third quarter by $1.8 million or 4% from the previous quarter; part of the reason for the operating expenses not increasing its tight cost control. But in addition, the earnings in Mexico is on variable basis, i.e., net of OpEx.
 General and admin expenses were flat quarter-on-quarter at $7.7 million and confirms the company's targeted and expected run rate on corporate overhead costs. The total financial expenses was $26.6 million in the quarter, and it reflects the relatively low capital costs of the company's debt at an average interest rate of 4.7% only.
 Net loss for the quarter was $32.6 million, which is a $27.3 million improvement from Q2. The main reason for the positive development is the improvement in operating results, in addition to an increase of $9.5 million in income from equity method investments and the gain of $3.6 million generated from the sale of the IWS JV classified as nonoperating income.
 Adjusted EBITDA for the quarter was $20 million, an improvement of $16.3 million from Q2. We are very pleased to show the EBITDA growth for 2 consecutive quarters, a result of very good marketing and contracting for our rigs, coupled with stringent cost control.
 Our cash position at the end of the third quarter was $68.9 million, an increase of $36.5 million compared to Q2. The increase is mainly a result of higher distributions from Mexico, shown in cash from investing activities totaling just below $50 million in the quarter. Approximately half of this, $26.5 million, is due to the sale of our Integrated Well Services JV, representing both the sale proceeds and release of previous funding and retained profits.
 The remaining distributions from Mexico are attributable to improved collections for the drilling operations in the country. This was partly offset by cash payments related to activation of rates amounting to $5.8 million. Cash used in operations was $7 million, which includes $11.2 million of interest payments. However, as mentioned, the cash payments from Mexico in the quarter is the result of improved collections from operations but classified as repayments from equity method investments and not shown in cash from operations.
 Now and moving to the next slide and a more detailed overview of our fleet and contracts. Year-to-date 2021, we have been awarded 32 new contracts, extensions, exercise options, LOAs and LOIs, representing approximately 7,900 days and $668 million of potential backlog. These calculations include contracts made through drilling JVs on 100% basis, in addition to any modernization compensation in the contract. The added backlog in 2021 represents 21.7 years of backlog, while during the same period, our operating rigs have consumed approximately 11.5 years of backlog. This shows our backlog replenishment ratio stands at a multiple of 2, meaning that we added twice as many days of backlog as they've consumed during the same period.
 The most recent update to the fleet overview is that we have secured new contracts and LOAs for the currently active rig Idun in addition to the warm stacked rigs, Groa and Ran. The Idun has been awarded a binding LOA for a program in Southeast Asia with an expected duration of 421 days plus options. The Groa has been awarded a binding LOA for a program in the Middle East with a duration of 2 years plus options. And finally, the Ran has been awarded an accommodation contract for a program in the U.K., with an expected duration of 100 days, plus options. Subsequent to this contract, the rig is expected to be relocated to Mexico. All of this increases the company's contracted and committed fleet to 17 units.
 With this, I would like to give the word back to Patrick. 
Patrick Arnold Schorn: Thank you, Magnus. Next slide, please. We have witnessed for a while that the tide is turning. We have arrived at a point where the impact of the multiyear underinvestment in the E&P industry has started to erode the spare capacity that previously was in place. The demand regardless of significant impacts like the pandemic is returning very strong and therefore, activity in the E&P will have to follow suit to ensure sufficient energy is available. The current oil price is underwriting the required increased investment and activity. 
 Previously, I have mentioned that the number of shallow water wells to be drilled will increase by approximately 19% from 2021 until 2022. This significant increase is now also supported by the first indications of year-over-year CapEx growth in the E&P sector, which is expected to be in excess of 20%. All of this, of course, funded by an elevated oil price, as is shown on the left-hand side. And just to remind you, at the end of 2019, we had 375 jack-ups contracted, while we currently just have 347 contracted jack-ups.
 That the contracted jack-up number is likely to increase, can be concluded to a certain extent, from the slide on the right-hand side, which shows the inventory draws. We are clearly not producing as much as there is demand, which is okay for a while, but these volumes will need to be replenished.
 Next slide, please. Since our last report in August, we have continued adding backlog with currently 17 rigs being committed or contracted, which has led to 3 additional warm stacked rigs being activated. We see stronger customer demand for our rigs through a higher frequency of commercial discussions and tendering in recent months, coupled with the increase in recent tenders for multiyear multi rig contracts. This leads us to expect utilization levels to improve rapidly.
 Our strong operational performance, customer reach and fleet availability uniquely places Borr Drilling in a position to benefit from the strengthening market and we remain on track to fully contract our fleet of 23 delivered rigs by 2022.
 Next slide, please. Global competitive jack-up utilization stood at 84% at the end of the quarter, an increase of 2 percentage points quarter-on-quarter and 4 percentage points since December 2020. Market availability of rigs built after the year 2010 has continued to tighten and currently stands at 34 available units. Year-to-date, 11 additional rigs built after the year 2010 have been contracted, and we expect this number to increase significantly in the coming quarters and driving up utilization.
 Next slide, please. In conclusion, I would like to reemphasize some of the key points. Firstly, the market is moving and the macro environment is creating a unique set of opportunities for Borr Drilling. We have the right equipment and operational focus to benefit from this. Consequently, we have started the activation of the Run, Gerd and Groa as well as the Mist in this quarter. In Q2, we did have 10 rigs available for deployment. And during the third quarter, this number of available rigs has dropped to only 6. We doubled our cash balance in the quarter and have seen similar strong performance in EBITDA generation as well.
 Together with our main creditors, we are working to construct a long-term capital structure, which would take us well beyond the current Q1 2023 maturities. Currently, we are in advanced discussions with one of the significant creditors having arrived at a commonly understood framework to extend commitments substantially beyond 2023. This is the first step towards achieving a fitting solution for all our creditors, which we aim to have in place in the foreseeable future.
 Ladies and gentlemen, the business environment in which Borr Drilling thrives has finally come. It's now our turn to make the very best of it and generate exceptional returns for all our stakeholders. Ladies and gentlemen, thank you very much. We will now go to the Q&A. 
Operator: [Operator Instructions] Our first question today comes from Karl Frederik Schjøtt-Pedersen from ABG. 
Karl Schjott-Pedersen: Congrats on a good quarter. With regards to the capital structure and the debt maturities. Can you provide some color on how these discussions have developed through the recent period, given the positive developments that we have seen in the oil price? And further, how should we think about the long-term sustainable capital structure? What would be the metrics that you are delevered to [ steer towards ]? 
Patrick Arnold Schorn: All right. So thanks for your question. And maybe let me talk a little bit more about some of the things that we set out to do in Borr initially and then kind of walk into the capital structure. So as we were looking at the company, there were some key things that we needed to address quite rapidly. One thing was related to the operational turnaround, specifically focused on Mexico issues and the IWS business that we have and also the financials around that business. That is something that we took head on, and we have completed that. 
 Our second focus was really related to strengthening the marketing and business development team and put ourselves in a position where we can win accretive contracts in the appropriate way. We also have completed that, and we have that team in place, and the results are there.
 The third thing that is for us to address is the capital structure. And in particular, there, the Q1 '23 debt maturities and I'll come back to that in a second.
 The fourth point, just to kind of make sure that we have the full list of our priorities here mentioned. The fourth point is M&A. And there might be some opportunities for us in the future, but it is at this moment, not of an immediate concern as we have plenty other opportunities to generate value. So coming back to the point, where we are currently spending the majority of management time, which is really dealing with the debt maturities. And I think it is important to realize that we have a very interesting set of creditors, with some of them very closely aligned with the objectives that we have. 
 One of the key attributes of the debt structure that we currently have in place is that we have a very low cash interest cost, which is a competitive advantage, and it has also allowed us to stomach the tough business environment that now lies behind us. So going forward, what we are looking for is to extend the maturities and ensure that our creditors are appropriately rewarded for their investment. And at the same time, allow the company to further expand its operational footprint and increase the cash-generating capability much further than where we are today.
 So far, we have continued our engagement with the various creditors with an initial focus on some of the largest and most aligned partners that we've had since the beginning. At this moment, we are in advanced discussions with one of the significant creditors and have arrived at a common understood framework to extend the commitment substantially beyond 2023. And just to be clear, substantially is, of course, much more than 1 year. This is still subject to certain conditions, including the Board approval of both of the companies. And as such, it would be inappropriate to really delve into any of the terms and conditions that we are discussing. But it was important that we gave you an update on where we stand and that we are indeed making progress in this department.
 So what we are going to do going forward is make sure that we are taking the framework that we are having developed so far and taking it to all of our creditors and obviously, needing to make sure that what we put in place is something that works for all our creditor groups. There is no point striking a deal with 1 or the other. So therefore, we will spend the next few weeks in making sure that we get everybody on board and supporting it and making sure that we have a solution that is putting the company in a position where it needs to be.
 I think that actually you were asking about metrics. I think that one of the key things that we want to do is make sure that we get the company in a position, where through the cash that we generate, we have alternative ways of financing some portions of our debt, which is what we're focusing on. And what is incredibly important to us, of course, is to have the business environment as it is developing today. There is far more contracts out there. There is price increases that are coming up. We see utilization going up, and we see overall a very good interest in the types of equipment that we have available to us.
 So based on that and having the focus on the cash generation that allows us to have a broader pool of credit options to work with. I think that we are well placed to work through the debt maturities that are currently standing at Q1 '23, and that is really the approach that we have.
 I understand that I don't give you as much detail as you might want, but you have to understand that at this moment, dealing with the 5 parties that we have, we need to make sure that we first appropriately deal with them and have the communications with all of those before we are able to be public about any of this. I think I will have to leave that. 
Karl Schjott-Pedersen: Could you comment on the absolute debt level? Or is that something that you'd refrain from commenting on also? 
Magnus Vaaler: I think I'll back up the comment that Patrick said that we stand by the absolute debt level that we have today. And taking into account a normalized market or a historic market where newbuild prices have typically been around $200 million or even above. And with the cycle that we are projecting now, I think in a historical perspective, the debt levels are not that high in a normalized market. So I think also we can leave it at without giving any specific numbers, but that's the perspective and that's something we have emphasized in previous presentations also. 
Operator: [Operator Instructions] Our next question is Fredrik Stene from Clarksons Platou Securities. 
Fredrik Stene: Congratulations on very nice performance this quarter. It seems like the stock market is appreciating that as well. And I think what I'm looking forward to get a more -- a bit more color on with -- now that we've kind of covered the CapEx -- or sorry, the [indiscernible] aspect of it, would be the plans to employ more rigs. You've hit your 17 rig target as you -- for this year, at least, as you communicated in the second quarter. And now, at least from the wording in your report, you seem very confident in being able to employ the remaining 6 through next year as well. And from my side, I think the Middle East contracts was maybe the most interesting one today because that's an area where you haven't really done work before. So I was wondering, could you give us any color as to how you got that contract? Are there any partners here? Has this opened any doors for new or additional contracts for your currently stacked rigs? Anything related to that would be super helpful. 
Patrick Arnold Schorn: Yes. Thank you, Fredrik. So clearly, the Middle East is the largest market. And therefore, for particularly Borr being absent in that market, it is a fantastic growth opportunity. And we have made a lot of effort to some of the larger tenders that are currently in that market to participate in a variety of ways, as we have mentioned previously. And there, we have also worked with partners to get into certain contracts, where we felt it was beneficial for the client ultimately to have access to our equipment, and that doesn't necessarily only go through Borr Drilling directly. So there are constructions that we have worked through bareboat charter for particular contracts. 
 The one that we have mentioned at this moment is a contract that we do fully by ourselves. Borr Drilling is operating it. It is a normal day rate type of contract, in an environment where we have focused for quite a while. There is -- there are high-tech specifications to it. We have a long-term contract. It's a 2-year plus options, and we're very pleased with where we are at this moment. At this moment, we are not at liberty yet to release the name of the customer. But clearly, it has been a focus area of us. We're very happy with the opportunity to work. 
 And quite frankly, it's not the only one. We are discussing other opportunities in the area, and this is clearly in several countries, there are opportunities. There is not just one country where the opportunities are, even though there has been a significant focus on Saudi Aramco and some of the larger tenders that have come out, there is actually quite a bit of activity. And also, if you look at the overall requirement in the area, there is continued requirement for the higher end rigs that we have. So we're very pleased to have the ability again to show what we can do and what levels of service quality and safety we can be providing to the customers also then in the Middle East. 
Fredrik Stene: Just a follow-up there. On your -- this rig year that's been working before, if I remember correctly, but on some of the -- that you've taken out regards, but haven't been working, there's this stacking costs. And we've recently discussed that before. Do you think bareboat partnering structures that you have bridge CapEx or activation costs for additional rigs will be more likely in the cases where you're offering rigs that haven't worked before to save some of your liquidity going forward as well? Or do you think that given the fact that you have now doubled your cash, you could take some of that CapEx on your own balance sheet as well. 
Patrick Arnold Schorn: Yes. So this is -- I mean, I think what you described is a little bit what we are working on at this moment. Clearly, we have a market that can absorb more of our rigs, and we have more contracts coming up. We have won them already. So what we are looking at, at the moment is making sure that the rigs where the smallest amount of cash is required to get them back to work. We obviously fully want to do that under our own banner, and that is how we make best use of our cash. If there are some specific opportunities where through working through somebody else that indeed then would take care of the activation and making sure that certain contractual equipment requirements are being met. If we can do that through partners, then that is perfectly fine. 
 I think what we want to make sure is that we are using our own cash smartly and therefore, we will try to keep all the rigs that previously have worked. And as you mentioned correctly, the Groa has been working previously, that obviously requires a significant lesser amount to get that back to work. And therefore, those are the ones that we concentrate on right now for ourselves. And as we go forward, we are also taking some of the new rigs out of the shipyard because there are some opportunities that we have for those as well. But as you mentioned, even though we have grown our cash balance quite significantly. The activation of rigs costs a significant amount of investment as well. So we just want to be wise about that and make sure that we basically stretch the dollar as much as we can and make the best out of the cash balance as it is. 
Operator: [Operator Instructions] As we have no further questions, this does conclude today's Q&A session, and it concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.